Operator: Good afternoon, and welcome to the Evolv Technology Third Quarter Earnings Results Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host for today's call, Brian Norris, Senior Vice President of Finance and Investor Relations for Evolv Technology. Please go ahead, sir.
Brian Norris: Thank you, Megan, and good afternoon. Welcome to today's call. I'm joined by John Kedzierski, our President and CEO; and Chris Kutsor, our CFO. Earlier today, after market close, we issued a press release detailing our third quarter 2025 results and full year outlook. The release is filed with the SEC and available on the Investor Relations section of our website, where you will also find a supplementary slide highlighting the benefits of our transition to our direct distribution model, which we'll reference during the call. During today's call, we will make forward-looking statements within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements relate to our current expectations and views of future events, including, but not limited to, statements regarding our future operations, growth and financial results, our potential for growth and ability to gain new customers, demand for our products and offerings and our ability to meet our business outlook. All forward-looking statements are subject to material risks, uncertainties and assumptions, some of which are beyond our control. Actual events or financial results may differ materially from these forward-looking statements because of a number of risks and uncertainties, including, without limitation, the risk factors set forth under the caption Risk Factors in our annual report on Form 10-K for the year ended December 31, 2024, filed with the SEC on April 28, 2025, and our quarterly report on Form 10-Q for the 3 months ended September 30, 2025, filed with the SEC earlier today. The forward-looking statements made today represent our views as of November 13, 2025. Although we believe the expectations reflected in these statements are reasonable, we cannot guarantee that future results, performance or the events and circumstances reflected therein will be achieved or will occur. Except as may be required by applicable law, we disclaim any obligation to update them to reflect future events or circumstances. Our commentary today will also include non-GAAP financial measures, which we believe provide additional insights for investors. These measures should not be considered in isolation from or as a substitute for financial information prepared in accordance with GAAP. These measures include adjusted gross profit, adjusted gross margin, adjusted operating expenses, adjusted operating income, adjusted EBITDA and adjusted EBITDA margin, adjusted earnings and adjusted earnings per diluted share. Reconciliations between these non-GAAP measures and the most directly comparable GAAP measures can be found in our press release issued today. Please note that our definition of these measures may differ from similarly titled metrics presented by other companies. We will be discussing key operating metrics such as annual recurring revenue, or ARR, remaining performance obligation, or RPO, both of which we believe are helpful to investors in understanding the progress we are making in this business. One last item, we have an active IR schedule coming up, including the Craig-Hallum Alpha Select Conference next week in New York and 2 events in December, the UBS Technology Conference in Scottsdale and the Northland Capital Conference, which is being held virtually. We will also be on the road this quarter at several financial centers across the country. For more information, please contact me at bnorris@evolvtechnology.com. With that, I'd like to turn the call over to John.
John Kedzierski: Thank you, Brian, and thanks to everyone for joining us today. Our results throughout the year demonstrate meaningful progress toward greater consistency and stability across the organization. We're moving closer to our goal of building a scalable, high-growth business with predictable performance. Our focus remains on disciplined execution and an unwavering commitment to our customers' success. Our Q3 results reflect the latest steps on that journey. Revenue was $42.9 million, up 57% year-over-year, driven by strong new customer acquisition and expanded deployments within existing customers as well as higher onetime product revenue associated with certain customer wins, including the largest customer contract in the company's history. We have also benefited from the completion of certain short-term subscription contracts, including the premier international soccer tournament we supported over the summer. Chris will get into more detail on revenue in a few minutes. Our overall visibility continued to strengthen with Q3 marking the strongest booked-to-deployed unit ratio in the company's history. Thanks to the changes we have been sharing with investors in our go-to-market model, we expect 2026 to be an inflection point where Evolv's ARR growth will outpace revenue growth. Let me explain that encouraging trend a bit further, which we introduced to investors on our prior call. While we are delighted with 57% year-over-year revenue growth, it is important to note that our deployed unit count grew by about 30% year-over-year, which we believe provides a more normalized view of the fundamentals of the business. The gap between revenue growth and unit growth is primarily based on 2 factors. First, it reflects the trailing impact of our legacy distribution fulfillment model, which results in a higher proportion of the total contract value taken in the immediate period, lower ARR and lower total contract revenue as compared to direct purchase fulfillment. The second factor driving the delta between revenue growth and unit growth is a higher proportion of purchase versus subscription sales or our mix. Specifically, units purchased by our customers represented 57% of unit activity in Q3 compared to 41% in the year ago period. By transitioning away from our legacy distribution model, we now capture 100% of the average revenue per unit or ARPU. This shift increases recurring revenue over the 4-year subscription term and delivers back to Evolv a higher level of cash per unit. To illustrate the differences between distribution and direct fulfillment, we've created a chart and posted it on our Investor Relations website. While we have largely completed the move away from the distribution fulfillment model, and we have also repriced our solutions effective July 1 to emphasize software and ARR, it will take some time for our revenue recognition to match our new pricing. As a result, in Q3, we saw higher onetime product revenue related to the prior distribution model and associated revenue recognition treatment. Over time, our revenue recognition will more closely match our pricing and the majority of our ARPU will be in ARR instead of onetime product revenue. In summary, the trailing effects of distribution fulfillment and a higher proportion of purchase units drove revenue to outpace unit and ARR growth and why we believe 30% is a more meaningful measure of year-over-year growth. We finished the quarter with annual recurring revenue, or ARR, at $117.2 million, reflecting growth of 25% year-over-year. While our ARR growth trailed revenue growth in Q3, we expect this ratio to begin to flip in 2026 with faster ARR growth relative to total revenue growth, as I mentioned. We reported our fourth consecutive quarter of positive adjusted EBITDA with adjusted EBITDA margins of 12% in Q3. We welcomed over 60 new customers in Q3 and are raising our year-end estimate for active subscriptions to between 8,000 and 8,100. This continues to represent a very small slice of the hundreds of thousands of entrances that advanced weapons detection can help protect. We continue to see a strong trend of customers proactively upgrading to our Gen2 Express platform. These upgrades typically reset the subscription churn with fresh 4-year commitments. Gen2 upgrades also helped drive a sequential 8% increase in RPO, which stood just shy of $300 million at the end of Q3. eXpedite, our new autonomous AI-powered bag screening solution continued to gain strong traction since its Q4 2024 launch. In Q3 alone, we added 12 new customers, primarily in schools where we are beginning to see one-for-one deployments of eXpedite and Express to help streamline security by lowering alarm rates and enhancing the student experience. We believe the combination of Express plus eXpedite provides an exceptional security experience in terms of threat detection capabilities and false alarm rates. Based on early deployment data across education customers, Evolv eXpedite has shown an alert rate of approximately 2%, demonstrating strong promise in balancing detection with the goal of keeping false alarm rates low. Beyond the numbers, we are making a real difference in the communities we serve. Every day, we screen on average more than 3 million people. And since the launch of Evolv Express, we have screened over 3 billion visitors. Evolv eXpedite introduced just a few quarters ago, has already been used to screen more than 1 million bags. On average, our technology helps customers detect and tag 500 firearms daily. What does that look like in real life? In August, at a high school in Nashville, our system identified and helped intercept a loaded handgun at the door. In October, Evolv Express detected a loaded firearm in a student's backpack at a high school in Georgia. And just 2 weeks ago, our solution identified a concealed firearm during morning arrival at a high school in Atlanta. These 3 examples provide a small glimpse into the impact we are having on education. In the third quarter, we added over a dozen new school districts across the U.S. These included 2 new districts in New Jersey, 2 in Michigan, 2 in California and 1 each in Wisconsin, Tennessee, South Carolina, Nevada, Montana, Louisiana, Iowa and Connecticut. In health care, we are driving meaningful change by helping hospitals elevate safety standards while minimizing the impact on patient and visitor experience. Our solutions are enabling smoother and faster entry while enhancing threat detection at critical access points. With growing demand across the sector, we are now screening hundreds of thousands of visitors daily in medical facilities nationwide. A few recent wins in this market include WellSpan Health, UC Davis Health and Seattle Children's Hospital. Shifting to sports and live entertainment, we expanded our presence in professional hockey with -- the Buffalo Sabres, who entered a multiyear subscription agreement to deploy 9 Evolv Express Gen2 systems at KeyBank Center. This deployment is part of a broader 2025 arena upgrade initiative aimed at improving ingress and egress for fans. In Collegiate Athletics, the University of North Carolina at Chapel Hill is deploying Evolv Express to enhance safety and streamline entry at its athletic venues. In the world of professional football, Bank of America Stadium, home to the Carolina Panthers and Charlotte Football Club, recently completed a long-term renewal upgrading to Gen2 of Evolv Express. The venue now operates 19 systems and has added Evolv eXpedite for enhanced bag screening and faster guest entry. Staying in professional football, our technology is now being deployed at nearly a dozen practice and training facilities league-wide. This initiative includes both Evolv Express and Evolv eXpedite. We believe this is a strong endorsement of our ability to deliver a superior security experience for a variety of entry flows, covering fans, staff members, players, media and VIP guests. These wins reinforce our ability to penetrate diverse markets and deliver trusted solutions that drive long-term growth. We welcome all our newest customers and take sacred the trust they have placed in us. We look forward to the challenge of earning their business every day. Shifting into business operations. We're excited to announce a new strategic partnership with Plexus -- a collaboration that expands production capacity, global reach and operational resiliency. Plexus is a global leader in design, manufacturing and supply chain services that brings the infrastructure and expertise to support the next phase of our growth. With 26 facilities and more than 20,000 team members worldwide, they'll help deliver our technology to the places people gather every day. I want to shift gears for a moment and share some exciting developments on the product development front. I'm pleased to share that we recently released the latest versions of our software, Evolv Express 9.0, Evolv eXpedite 1.2 and – MyEvolv Portal and Evolv Insights 6.0. These updates reflect our ongoing commitment to improving performance and user experience for our customers, now numbering over 1,000 globally. With this release, we've introduced several enhancements aimed at supporting security teams in their day-to-day operations. Among the highlights is a new integrated tablet interface, which brings together the workflows of Express and eXpedite into a single streamlined user interface. We also released the integration of eXpedite into the -- MyEvolv Portal, enabling customers to see operational data for walk-through and now bag screening in a single location. With these enhancements, we have strengthened the bundled customer ownership experience for Express plus eXpedite. We've also expanded alert tagging and added sensitivity tuning, giving our customers more control in how they manage their security operation. These improvements are the results of listening closely to our customers and continuing to push the boundaries of what's possible in safety and efficiency. Through our subscription model, we're able to deliver these software capabilities seamlessly via the cloud, enabling innovation to reach the field without disruption. With each release, we aim to raise the bar, not just for ourselves, but also for the entire industry. Before I hand things over to Chris, I want to take a moment to share a bit of context around our outlook. We're seeing strong momentum in the business. Our backlog continues to grow, and we've got a healthy pipeline. For those reasons, we are raising our 2025 outlook. We now expect to grow revenue by about 37% to 40% in 2025 compared to our previous guidance of 27% to 30% growth. I would point out that our upwardly revised revenue forecast for the year of between $142 million to $145 million includes certain onetime benefits, in particular, related to onetime revenue recognition from our legacy fulfillment and pricing models that I mentioned earlier. Excluding these short-term revenue items, we will be forecasting total revenue growth in 2025 of about 30% year-over-year. We continue to expect to deliver positive full year adjusted EBITDA with full year margins in the high single digits. We remain committed to generating positive cash flow in Q4. Looking ahead to 2026, let me start with this fundamental principle. We're planning to add more units in 2026 than we did in 2025 with ARPU trends remaining stable. As a reminder, our 2025 results included the largest customer contract in the company's history, more than 250 units. We plan to grow on top of that order. The changes in our distribution fulfillment model and pricing structure will allow us to capture 100% of contract ARPU, shift more of that ARPU from onetime revenue into ARR and RPO and create an opportunity to maximize leverage in the business over time. We estimate that the subtle but powerful shifts of emphasizing ARR over short-term product revenue will defer about $5 million to $10 million of revenue in 2026 that we would otherwise have captured had we not changed our distribution and pricing structure. We expect that $5 million to $10 million to convert into long-term recurring revenue streams that will benefit future years. We're currently modeling full year 2026 revenue of between $160 million to $165 million. Importantly, we expect ARR to grow by at least 20%, outpacing total revenue growth in 2026, which is an important pivot for Evolv. This management team continues to prioritize ARR growth and other long-term value drivers. With that, I'll turn it over to Chris, who will take you through our financial results and the details behind our outlook.
George Kutsor: Thanks, John. Good afternoon, everyone. I'm going to review our third quarter results in more detail and then walk through our updated guidance for the rest of the year as well as context on our early thoughts for next year. As John mentioned, revenue was $42.9 million in Q3, an increase of 57% year-over-year. This was fueled by strong new customer growth and expanding deployments across our customer base. It also includes a few items that, while positive, aren't expected to recur at the same scale every quarter, as John mentioned. Let me unpack those a bit further. First, our new contract with Gwinnett County Public Schools, the largest in Evolv's history, contributed approximately $3 million in revenue in Q3, primarily as onetime product revenue. Second, Q3 included a very high proportion of direct purchase method deployments compared to our legacy distribution motion, which brings more immediate revenue recognition and less ARR, which John covered already. The nearly $3 million of product revenue recognized for Gwinnett County this past quarter is an example of that effect. We also recognized approximately $3 million in IP license and other onetime revenue in Q3, primarily tied to our legacy distribution subscription model. Finally, we had roughly $1.5 million in short-term subscription revenue or rentals. These short-term subscriptions are valuable and remain part of our strategy, but they tend to be episodic in nature. When adjusting for these specific items, you get a more normalized view of Q3 revenue closer to $35 million to $36 million, which would reflect growth of about 30% year-over-year. Annual recurring revenue, or ARR, at September 30 was $117.2 million, reflecting growth of 25% year-over-year and 6% sequentially. Remaining performance obligation, or RPO, was approximately $299 million at the end of the third quarter compared to approximately $275 million at the end of the second quarter and $269 million at the end of Q3 last year. Adjusted gross margin was 51% in Q3 compared to 64% in the same period last year. There are 3 drivers here worth diving into a little bit deeper. First, as discussed on our last call, the shift from distribution fulfillment to direct purchase fulfillment creates a near-term gross margin headwind, but it also brings higher gross profit dollars over the term of the contract, along with higher revenue, higher ARR, higher RPO and cash compared to the legacy distribution model. With the business now delivering a consistent track record of positive adjusted EBITDA, that's an important long-term trade-off we are pleased to make. Second, we saw the impact of several large education contracts that included significant volumes of our newest product, eXpedite. eXpedite is still operating at subscale manufacturing cost. We expect eXpedite costs to improve in 2026, which we expect to positively impact future gross margins. And finally, we recognized approximately $3 million of onetime costs related to inventory and service adjustments. Moving down the P&L. Adjusted operating expenses, which excludes stock-based compensation, loss on impairment of equipment and certain other onetime expenses were $24.8 million compared to $25.2 million in the third quarter of last year. This modest year-over-year decline in contrast to strong year-over-year growth in units deployed, total revenue and ARR growth reflects the actions we have taken since the start of the year to reduce spend and improve the profitability of the business. We believe it is also an excellent indicator of the leverage we believe is central to our business model. Adjusted EBITDA, which excludes stock-based compensation and other onetime items, was a positive $5.1 million in Q3 of '25 compared to a loss of $3 million in the third quarter of last year. This resulted in adjusted EBITDA margin of 12% in the third quarter of 2025. Turning to the balance sheet. Cash, cash equivalents and marketable securities increased $19 million sequentially to $56 million, up from $37 million at the end of Q2 2025. This primarily reflected proceeds from the new credit facility that we completed in July, along with tighter inventory management and stronger overall collection activity. I'm going to provide some additional details to our updated 2025 outlook that John mentioned a few minutes ago. We now expect total revenue to grow by 37% to 40% in 2025 to be between $142 million and $145 million this year. This is up from our prior guidance, which called for revenue between $132 million and $135 million. A few things we'd encourage investors to consider for context in our '25 revenue estimate. First, as I mentioned in my earlier commentary, the largest deal in the company's history contributed about $3 million to Q3 revenue, and we expect to contribute more than $5 million for the full year due to higher upfront revenue recognition related to the residual effects of our legacy distribution fulfillment model. Second, IP license and other revenue was about $3 million in Q3, and we're expecting that to be about $10 million for the full year. That onetime revenue stream is primarily tied to our legacy distribution fulfillment model, which has been phased out. Investors should assume that IP licenses are no longer a driver to revenue growth starting here in Q4. Third, short-term subscription contracts contributed about $1.5 million to revenue in Q3, and we are expecting that to be about $2 million for the full year. Those opportunities are generally onetime in nature, so it is not something that we plan around. In light of these 3 factors, we estimate a more normalized revenue growth rate for 2025 would have been about 30% year-on-year growth compared to 2024. We expect 2025 adjusted gross margin to be in the range of 52% to 54%, not due to ARPU compression or a change in competitive pressure, but because of the shift to direct purchase fulfillment. To reiterate my previous comment, the direct purchase fulfillment model is a headwind to gross margin in the first year of the new contract. But over the term of the subscription contract, it generates higher total gross profit dollars, higher revenue, higher cash and ARR compared to the distribution fulfillment model and also makes us easier to do business with. With strong top line growth and continued focus on expense management, we expect to deliver positive full year adjusted EBITDA in 2025 with full year adjusted EBITDA margins in the high single digits compared to our previous guidance, which called for margins in the mid-single digits. We expect to be cash flow positive in the fourth quarter of 2025. Turning now to 2026. As John mentioned, we remain encouraged by the changes we made this year, and we expect to see ARR growth begin to outpace revenue growth in the next year. While we are still developing our final plans, let me set some additional context to the 2026 outlook. The fundamentals of our business remain strong with a robust customer demand and a stable pricing environment. We expect to add more units in 2026 than we did in 2025, with ARPUs remaining relatively consistent and the trends that we've seen this year continuing. In other words, we expect continued unit growth and stable pricing. That said, we expect recent shifts in our distribution fulfillment and pricing model will result in less onetime revenue, but more ARR and RPO in 2026 compared to 2025. We encourage investors to refer to the presentation material posted on our IR website for a graphical view of the positive impact of pivoting to direct purchase. We also expect a higher percentage of new units in '26 to be full subscription compared to 2025, which will also lower the '26 growth rates but drive faster ARR growth. We expect the changes we've made to our direct purchase pricing model, changes that maximize ARR by making the upfront hardware price lower, commensurate with reduction in our manufacturing costs will push at least $5 million to $10 million of revenue out of 2026 and into ARR and RPO. The higher ARR and associated recurring subscription value will also provide higher ARR rates when those contracts move to renewal discussions 4 years down the road. We believe all of these are smart changes for the business in the long term. We are currently modeling full year revenues of about $160 million to $165 million in 2026. And again, the important news here is that we expect to add more units in '26 than we did in '25 with ARPU trends remaining stable and ARR growing at a faster rate than total revenue. Specifically, we expect ARR to grow by at least 20% year-over-year. And to reiterate John's earlier comment, we believe 2026 will be an inflection point for the company as ARR begins to outpace revenue growth. While we haven't finalized our investment plans, we are committed to growing revenues faster than total expenses in 2026 and therefore, are currently modeling modest expansion of adjusted EBITDA margins. We will share more thoughts on how we're thinking about 2026 during our Q4 call in March. And in the meantime, we're focused on finishing a strong 2025. Before we open the call for Q&A, let me turn the call back over to John for a few closing remarks.
John Kedzierski: Thanks, Chris. We continue to be driven by our mission to make the world a safer place to live, learn, work and play while building a leading IoT SaaS security business. We believe security is a necessity, not a luxury. We remain highly confident in our market position. We continue to move forward with purpose, guided by a clear strategy and an unwavering commitment to long-term value creation. We've been intentional and transparent about the adjustments we're making, whether refining our go-to-market and pricing model to maximize ARR and recurring revenue, forging new partnerships to enhance cost efficiency and reduce COGS or evolving our organizational structure to ensure we optimize every investment across the business. Each of these steps underscores our focus on building a scalable, high-growth business with predictable performance. Our strong Q3 results and the momentum we see across the organization reflect meaningful progress in all of these areas. While we're proud of these results -- as I remind our team often, we will not be complacent. We are moving steadily toward our goal of creating a business that is both scalable and consistently high performing. We deeply appreciate the partnership of both our customers and our investors in the continued confidence they place in us and more importantly, in the mission we are pursuing.
George Kutsor: Thank you, John. At this time, we'd like to open the call up for Q&A. Again, we ask participants to limit themselves to one question and one follow up.
Operator: [Operator Instructions] Our first question will come from Jeremy Hamblin with Craig-Hallum.
Jeremy Hamblin: Congratulations on the very strong results. Just want to come back to the kind of the call outs of some of the onetime items here. Understand certainly for the short-term contracts, the $1.5 million of why you would exclude that and understand kind of the front revenue recognition of some of those deals that are going through distributor. But in terms of thinking about the build overall -- you do have the largest increase you've seen in recurring revenues as well as the largest increase you've had in RPO in a quarter. So just help me understand in terms of the large contract, how the revenue recognition overall on that will play out on a go-forward basis as an example.
John Kedzierski: Jeremy, I'll start and Chris can address any other specifics you might have. So as we communicated in the prepared remarks, we just shared, one of the impacts of legacy distribution model is more upfront revenue. We have largely moved away from that and the majority of our purchase subscriptions were executed through our direct fulfillment. But there'll be a tail of effect about how we take revenue on those deals over time, and that will normalize and result in a new pricing that we've already put in place months ago in July 1. As Chris mentioned, we'll ultimately recognize about $5 million of that order. It's a very significant proportion of the total order that we'll take in the first 2 quarters of a 48-month deal. Again, we expect that to adjust to the overall longer 48-month revenue recognition as we get into 2026.
George Kutsor: Jeremy, just a bit more context to that. This effect is only relevant for purchase subscription orders and doesn't have the effect for full subscription orders. And the effect is due to the hardware pricing that's part of the mix of the contract that we do in a purchase subscription order. So for about half of our business, this is the effect. And the impact, as John was talking about, ties back to GAAP accounting, ASC 606 that requires us to take that amount of upfront revenue in the way that's reflected in our remarks. So hopefully, that gives you the perspective as to why it's happening and the proportion of our business that it happens to.
Jeremy Hamblin: Understood. That's helpful. Dovetails nicely, though into -- I wanted to ask about the new strategic contract manufacturer agreement you've entered into. In terms of how you expect that to change what your baseline cost is for Gen2 or potentially Gen3 machines on a go-forward basis. Can you give us a sense for whether or not you expect that to reduce the manufacturing cost for the Gen machines -- I'm sorry, for the Express machines and whether or not they're also going to be manufacturing eXpedite and what that might do for the ramp of that business as well?
John Kedzierski: Jeremy, we're pleased and looking forward to the partnership with Plexus. We just executed that agreement. We're focused on onboarding them and get them to start manufacturing our product, which we will be focused on through the first half of 2026. Over time, we look forward to a larger scale and the potential of cost synergies that will come and the ability to be able to leverage their entire footprint.
George Kutsor: You should expect our full portfolio to eventually be available at Plexus as well.
John Kedzierski: As you would expect, we're doing it thoughtfully and carefully.
Operator: Understood. And then just one more quick one before I hop out of the queue. In terms of the eXpedite bag scanner product, what is the rough attachment rate that you're getting with that on sales of Express machines? And how does that vary? Are you getting more success with that, let's say, in the education vertical or in the stadium vertical versus a couple of your other verticals?
John Kedzierski: We're very pleased with the progress of eXpedite -- as we have shared in the prior quarter, a very significant portion of that large education order was eXpedite. In Q3, we had 12 new additions of eXpedite customers. To answer your question directly, 11 of those also acquired Express. And that's a trend that we're really excited about. We have seen deployments across education, sports, entertainment and health care.
Operator: Our next question will come from Eric Martinuzzi with Lake Street Capital Markets.
Eric Martinuzzi: Yes. So you talked about the number of units growing in '25 versus '24. Is that -- are we talking aggregate units, so Express plus eXpedite in 2025 is greater than '24 and the same thing, '26 versus '25? Are we talking the Express units only?
John Kedzierski: The aggregate units, of Express and eXpedite, which is consistent with how we've been discussing this year.
Eric Martinuzzi: Okay. And then can you remind me just the delta between the price of those 2 if someone were to purchase them outright, maybe not the absolute dollar.
John Kedzierski: We shared before, the unit economics are similar. As Chris commented, we expect the gross margins to be more similar over time. Today, eXpedite is a new product, hasn't benefited from the multiyear manufacturing scale that we built into Gen2. So right now, it's a bit of a headwind on gross margin.
George Kutsor: And Eric, remind you, that's also a 4-year subscription go-to-market model for eXpedite as well.
Operator: Your next question will come from Shaul Eyal with TD Cowen.
Shaul Eyal: On results, and thanks for the color and transparency on the business and the outlook. As you guys shift away from distribution to direct fulfillment model, just curious, what was the reaction of some of those channel partners involved?
John Kedzierski: It's very positive. There's one thing I want to make sure we're very clear on. This had no impact on our channel. But the majority of our business as it has, continues to transact from a channel. What the change was is how our channel partners get the product from us. In the past, in the motion that we introduced in 2023, they would purchase it from a distributor. Now they purchase it directly from us, which means that we capture 100% of the ARPU. We did not see the portion that went through distribution. So from a direct channel partner reaction, we have simplified their buying process. They used to have to buy one solution to an end user by issuing 2 orders, one to our distributor contract manufacturer for the hardware and one to us for the subscription. So their process to do business with us is much simpler.
Shaul Eyal: Got it. This is great. I appreciate it. And maybe the biggest contract that you discussed, those 250 units, yes, we're becoming greedy here. How many of these contracts are currently in the pipeline? I know they don't come too often, but I think we're beginning to see where the business is heading as we start to thinking about '26 and maybe even '27 down the road. Just curious how many of those, call it, triple-digit transactions are out there?
John Kedzierski: We haven't provided specific outlooks or details on our pipeline. But what I'll reiterate is that in the preliminary '26 guidance we just provided, we're planning to grow units over this year, which included that 250 units [ award ].
Operator: [Operator Instructions] Your next question will come from Michael Latimore with Northland Capital Markets.
Unknown Analyst: This is [ Aditya ] on behalf of Mike Latimore. Could you tell me what percentage of your bookings came from existing customers?
Brian Norris: Yes, for sure. This is Brian. It was well over 50%. A bit of that was slightly skewed in that one of the largest orders in the company's history was actually an order that started very briefly in Q2. So if I exclude that, it would be right around 50% on the quarter, it was higher because of that. So we're certainly seeing very significant expansions from existing customers to both Express and now eXpedite as well.
Unknown Analyst: Got it. And could you give some color among the new verticals? Are there any promising ones such as the warehouse or office?
John Kedzierski: Our vertical mix overall has stayed consistent. As we've shared in the past, sports and entertainment, education and health care are our largest verticals. In Q2, we discussed a large Fortune 500 distribution customer that entered the fold, and we're thrilled for the potential in that area. And we're focused on growing our vertical presence everywhere. And we like the diversity in the mix that we have, but we see opportunities to continue to expand.
Operator: That was your last question. I'd now like to turn the call over to John for closing remarks.
Brian Norris: Actually, it's Brian. I'm just going to close it out by, again, thanking everybody for joining us today. Again, we have a very active IR program here in the quarter, 3 conferences, multiple other visits to financial centers across the country. Look forward to meeting as many folks as we can each period. Thanks so much, and have a wonderful Thanksgiving.
Operator: Thank you for joining. This concludes today's call. You may now disconnect.